Operator: Good day, and welcome to the Investors Bancorp First Quarter Earnings Call. Today all participants will be in a listen-only mode. [Operator Instructions] Please note that today's event is being recorded. We will begin this morning's call with the company's standard forward-looking statement disclosure. On this call, representatives of Investors Bancorp, Inc., may make some forward-looking statements with respect to its financial position, results of operations and business. These forward-looking statements are not guarantees of future performance and are subject to risks, uncertainties and other factors, some of which are beyond Investor Bancorp's control, are difficult to predict and which can cause actual results to materially differ from those expressed or forecast in these forward-looking statements. In last night's press release, the company included its Safe Harbor disclosure and refers you to that statement. This document is incorporated into this presentation. For a more complete discussion of the certain risks and uncertainties affecting Investors Bancorp, please see the section entitled Risk Factors, Management Discussion and Analysis of Financial Conditions and Results of Operations set forth in Investor Bancorp's filings with the SEC. Today, I would like to turn the call over to Kevin Cummings, Chairman and CEO of Investors Bancorp.
Kevin Cummings: Thank you, Chris, and good morning, and welcome to the Investors Bancorp first quarter earnings conference call. Last night, the company reported in its press release net income of $39.5 million or $0.17 per diluted share for the quarter ended March 31, 2020 versus $48.7 million or $0.19 per share for the three months ended December 31, 2019 and $48.2 million or $0.18 per diluted share for the quarter ended March 31 last year. But I must say that the historical results have less meaning in today's environment as we deal with the economic uncertainty and much more serious issues of health and safety as we manage through this unprecedented pandemic. Right now, our priority is protecting everyone's health and well-being: our employees, customers, vendors and the communities where we work. Our pandemic crisis management team meets daily and includes the entire executive management team, plus key members of credit, operational, compliance and cyber risk management, where we discuss issues and topics ranging from employee health issues and technology to capital and liquidity management. We are focused on operating with a strong liquidity position as we are maintaining an above-average cash balance at quarter end. We continue to maintain a robust capitalization by limiting balance sheet growth and foregoing share buy backs. Excess capital and liquidity plus a fortress balance sheet will serve us well through these uncertain times. Credit topics include asset quality, portfolio analysis and adherence to and revisions to credit policies to meet the current environment. It should be noted that our loan portfolio's past performance has been very strong, and we are well-positioned entering this cycle. Our net charge offs over the past three years have averaged just 4 basis points and 5 basis points over the last 5 years. Our loan portfolio has a lower risk profile compared to our peers as almost 60% of our loans are in the residential space in the multifamily and residential mortgages portfolio. Total net charge offs for the multifamily and mortgage loan portfolios for the 5 years ended 12/31/19, were less than $1 million in total and $22 million for the residential portfolio, respectively. In the first quarter of this year, net charge off totaled $615,000 for these two portfolios. Our average LTVs at year end were approximately 60% for the residential and multifamily portfolios and 55% for the CRE and consumer portfolios. Our weighted average debt service coverage ratio for the multi portfolio, excluding co-op loans, was 1.38x and 1.61x for the CRE portfolio. Our FICO scores for the residential and consumer loan portfolios was 749 and 731, respectively at year-end. Credit quality has been our focus and will continue to be our strength as we move through the crisis. We hope for the best but are prepared for the storm and have placed little reliance on any of the economic predictions that we hear in the news or from the co-experts. No one knows where this crisis will go and we will continue to be diligent in our management by being prudent in our judgments and adhering to our core values and serving our customers and communities as a good corporate citizen. All banking services remain available to our customers in the retail network as branches remain open with drive-thru and ATMs and by appointment in the branches. Our digital channels allow customers to transact remotely and our call center has been staffed up to ensure that we are able to assist our customers in a timely manner. Last week, our average wait time at the call center was two minutes and was as low as 25 seconds. And our call drop rate was as low as 2% over the past week with a daily average under 10%. We have waived the number of consumer fees for up to 90 days and that includes but are not limited to ATM monthly maintenance and overdraft fees. Additionally, we are allowing our customers to defer mortgage payments for up to 90 days due to the financial hardships caused by this crisis. We have deferred monthly mortgage payments for approximately 1,600 customers with a total balance of $648 million with an average balance of $400,000. On the commercial side, we've been proactive in reaching out to our customers to help them through this crisis. Our C&I portfolio has deferments on 299 loans for a total balance of $580 million or 19%. Total impact on cash flow was approximately $18 million over the 90-day period. For the multifamily portfolio, deferments totaled $1.2 billion on 227 loans for an average loan of $5.3 million and the CRE portfolio had deferments totaling $1.3 billion on 305 loans with an average balance of $4.3 million. The total payment deferments amounts were $12 million and $20 million for the multi and CRE portfolios over the 90-day deferment period. At year end, for the multifamily and CRE customers with deferments, the average debt service coverage was 1.69x and 1.47x respectively. For the CRE and multifamily, the average LTV on deferred loans was approximately 53% for both portfolios. We have been active working with the public, not-for-profit space and the private sectors to meet the needs of our customers and our community. Overall, banks through this crisis have played a significant role to act as a conduit between the government and our customers. In an unprecedented role, banks have stepped into provide the process and the manpower to disperse billions of relief to small businesses throughout New Jersey and throughout the country. Government could not get this done alone, but it is a public-private partnership to help businesses in need. And I certainly hope that this program, although not perfect, does not come back to haunt the industry when the time passes and people on the sidelines in Washington question the decisions made in the heat of this battle. Investors Bank, without an SBA platform was able to build a digital platform working with the fintech partners and it was and it certainly was not an easy process. It was a difficult time and probably not our finest hour, but the team worked diligently and was able to execute with the SBA, satisfying our entire pipeline with current SBA approvals of approximately $335 million for 1,850 customers. We were very prudent in our expectations here as we did not want to over promise or under deliver with our customers. Investors Bank and the industry as a whole has worked around the clock to assist the Treasury and the SBA in providing relief to small businesses throughout the country. It was our civic duty to get this done, and I'm very proud of our perseverance and grit and the personal sacrifices of our teams made to support our customers. It has not been easy, but like the fear experienced during the initial outbreak of this pandemic in the New York metropolitan area, we have overcome many obstacles in the workplace, including technology challenges, working from home and caring for the families of the employees and friends who were lost to this coronavirus. We are at the epicenter of this crisis and we have the team to manage through these many problems. From the very beginning, we stepped up our cleaning protocols in the branches and corporate locations as per the CDC guidelines. Since early March, all employees have been dispersed and are either working from home or in other ISBC locations, including key operating functions such as wires, treasury, call center and executive management with the majority of our back office employees working from home. Those employees who remain on-site are practicing social distancing with limited in-person meetings and travel. Health benefits have been expanded for our employees through the employee assistance program, the waiving of co-pays and all telemedicine visits. Through all this calamity, we were able to close our acquisition of Gold Coast Bank on April 3, adding seven branches to our Long Island franchise with $488 million in deposits and $453 million in loans. Our legal team did an outstanding job working with the bankers and Gold Coast CEO, John Tsunis and his management team to close this deal when others may have postponed or walked away from the transaction. I'd like to thank our GC, Brian Doran, Chief Technology Officer, Chris Blotto and Facilities Director, Joe Valente, by getting this deal closed, completing the systems conversion in the weekend and changing the interior and exterior signages to the Investors Bank brand all on a weekend through difficult circumstances to say the least. We wish to welcome the Gold Coast customers and employees to the Investors family. And as part of this transaction and in consultation with its Chairman, John Tsunis, we made $100,000 donation to the Stony Brook University Hospital to assist their workers as the hospital built 1,000-bed temporary mesh-like hospital on the football field of the university. We've been very busy supporting the healthcare workers and the not-for-profits in our community. Early on in March, we allocated to the retail branches and their staff $150,000 budget to invest in the community with meals for elderly customers who may be homebound, donation to food pantries, purchase of air purification machines for the New York Hospital, gift cards for medical workers and many other acts of kindness and hope in a time of uncertainty and despair. Our foundation has made disbursements of $820,000 to food banks, health providers, youth services, homeless shelters, housing and supporting the underserved in our communities. We have made grants for economic support of small businesses of $125,000. The bank and foundation have also added additional funding to local charities, foundations and the community of $190,000 to support local not-for-profits and retail and small businesses in need during this crisis. In this time of uncertainty, it is time for the private sector to support our communities and show the country the generosity of the banking industry as the heart of capitalism in our society. Coming into this pandemic, we think we have a strong balance sheet, excess liquidity and stellar credit quality and are well positioned to weather this storm. We have strong liquidity at our parent company. And at the Board meeting this week, a quarterly dividend of $0.12 per share was approved, payable in May. Based on today's forecast, we believe we are well-positioned to maintain this dividend going forward. We had great momentum coming off a strong fourth quarter and executing the Blue Harbour transaction at year end. January and February were probably the best two months for their earnings in the history of the company as we earned before the March Fed cuts $38.6 million for the two months ended February 29. We are in another world, though today as we navigate this pandemic and look forward to getting back to some sense of normalcy. With respect to credit quality, our loan loss reserve increased to $243 million, which is 1.14% of total loans at March 31. Our provision was $31.2 million for the quarter, which includes the impact of the COVID-19 pandemic. I estimate that approximately $24 million to $26 million of this provision is related to this economic and health crisis. Our non-accrual loans totaled $98 million, down from last year at March 31 by 17%, but up slightly from year end by $3 million. The increase from year end is due to one business loan for $5 million, which matured in December 2019 and has not been renewed. At this time, we believe we are well collateralized and no loss is expected. Our allowance for loan losses coverage ratio to non-accrual loans is 248%, up from 200% at this time last year. During the quarter, we had one significant charge-off of $8 million on a loan in our leveraged lending portfolio, which was not meeting its cash flow projections and was in a sales process with an investment banker that failed due to the pandemic crisis. This portfolio totals $264 million with 23 borrowers at March 31, with one borrower over $20 million. Three loans are currently in the deferral process, with two making their first quarter interest payment and one making a partial interest payment. Our 30-day delinquencies were up in the multifamily portfolio by $12.3 million, and the three largest loans for approximately $45 million have made their March payments. In the CRE portfolio, the increase relates to one loan for $20 million to a significant investor that has over $20 million invested in a Manhattan property. We are monitoring all these loans closely considering the economic environment. Total deposits increased $324 million for the quarter as the cost of deposits decreased 20 basis points as we reacted quickly to the pandemic by increasing our liquidity, by increasing cash and due from banks by $500 million at quarter end. Capital liquidity and reserves are key factors as we navigate through this crisis. As rates have come down, we felt it prudent to invest in building our liquidity reserves at the expense of some earnings to be better prepared for the uncertain future. As I said earlier, we are preparing for the worst but hoping for the best. Now I'd like to turn the call over to Sean, our CFO, who will give some additional color on our operating results for the quarter. Sean?
Sean Burke: Thank you, Kevin. Earnings before income taxes and provision for credit losses were $85.4 million for the three months ended March 31, 2020, an increase of $3 million or 4% compared to the prior quarter and an increase of 21% over the prior year quarter. While net loan balances decreased quarter-over-quarter, commercial and industrial loans increased $104.2 million or 3.5% quarter-over-quarter. Net interest margin increased 10 basis points to 2.71% quarter-over-quarter with majority of the increase occurring on a core basis. We continue to benefit from Fed rate cuts and saw our cost of interest bearing deposits declined 20 basis points to 1.39% from the fourth quarter. Total non-interest income totaled $14.7 million for the quarter, a decline of $5.8 million quarter-over-quarter. We recorded elevated swap and equipment finance fees in the fourth quarter and saw both return to more normalized levels in the first quarter. Expenses totaled $102.6 million for the three months ended March 31, a decrease of $4.3 million or 4% compared to the three months ended December 31, 2019. The efficiency ratio improved to 54.6% from 56.5% in Q4, reflecting a modest increase in revenue and a slight decrease in non-interest expense. We adopted CECL on January 1, 2020. Upon adoption, the company recorded an increase in allowance for credit losses of $11.7 million. Provision for credit losses was $31.2 million for the three months ended March 31, 2020, and was significantly impacted by the COVID-19 pandemic. At the time we closed the books in early April, our forecast scenarios included a second quarter GDP decline of up to nearly 25% and unemployment up to 13% and a U-shape recovery. Given the uncertainty on how the pandemic will unfold generally makes projecting provision difficult. That being said, our provision in the second quarter will be driven in large part by the expected duration and severity of the pandemic. Asset quality, liquidity and capital were in a strong position at quarter end as we headed into this pandemic. Non-accrual loans represented 0.46% of total loans at March 31 compared to 0.44% at December 31, while our allowance for credit losses to loans stood at 1.22% at March 31. Our Common Equity Tier one ratio was 13.1% at quarter end, exceeding the well-capitalized level by approximately $1.3 billion. In addition, all of our regulatory ratios were meaningfully above well-capitalized levels at quarter end. Liquidity is robust and improved quarter-over-quarter. Our loan-to-deposit ratio stood at 117% at quarter end, down from 122% at year end and our access to borrowing facilities and other liquidity sources totaled over $9 billion at March 31. The unprecedented environment makes it difficult to provide formal guidance at this time. As such, we are withdrawing our previous provided earnings guidance. That said, at a high level, we expect our margin to continue to benefit from declining deposit costs in the near term and the loan growth will remain muted given the economic backdrop and our focus on profitability, but could change based on business conditions. Expenses generally are expected to be in line with previous guidance. Finally, we will be providing some additional details on deferrals and loan balances by industry type, referenced by Kevin today, in our 8-K that gets filed with our press release. Now I'd like to turn it back over to Kevin for concluding remarks.
Kevin Cummings: Okay, Sean. Thank you. Our message is to be faithful and not fearful. We need to be a source of hope and optimism in the community and continue to live by our core values by being a good corporate citizen and making a difference in a time of uncertainty. We are here for our customers. We are partnering with both the not-for-profit sector and the government sectors to help our communities. We have had our challenges, but as of today, we have executed on the task and the projects that this pandemic has created. Working from home, communications with both employees and customers, technology changes and enhancements, cybersecurity, the Gold Coast acquisition, commercial and mortgage loan deferrals, building a platform for the SBA program and leading our teams during a period of uncertainty and fear all have come with unique problems and adjustments. The bank has accomplished these things because of the hard work and leadership of our executives. At times, it may seem overwhelming, but we are getting it done. We will work continue to work together and encourage, now inspire our teams to reach into the depth of their souls to get through this crisis and clear those obstacles in front of us. We do not plan to survive, but we will strive through this crisis and rise to be the best that we can be. The bank will be a source of inspiration during these times because it is through inspiration and encouragement that brings great execution, success and peace in your life. Our communities and customers need us now more than ever. We will continue to step up and face these challenges. Our leaders continue to inspire each other to our greatest moments, knowing that we are giving our best and leaving all our energy on the field. It is a war out there and we will not be victims of this virus, but we will be victors. Now I'd like to turn the call over to some questions. Thank you very much.
Operator: [Operator Instructions] Today's first question comes from Mark Fitzgibbon with Piper Sandler. Please proceed.
Mark Fitzgibbon: So I wondered, first, if it would be possible to give us a little bit of detail on the size of things like your hotel, restaurant and retail portfolios.
DomenickCama: Okay. Yes, Mark, I can help you there. Our accommodation and food business is about 2% of total loans, about $387 million. That's the largest concentration that we have there. Arts, entertainment and recreation about $66 million combined between C&I and CRE. And a real the big number, obviously, is in retail, given our commercial real estate portfolio. That's $1.885 billion, making up about 9% of the portfolio. So those are the biggest concentrations we have. As Sean said, we'll be filing along with the press release and our 8-K a more detailed description of these numbers.
Mark Fitzgibbon: Okay. And then as you look at your portfolio in its entirety, I know everything is under pressure, but what is it that you're most concerned about? What which segments of the portfolio or borrower types that have you most concerned?
DomenickCama: I mean obviously in the C&I space, that obviously has a lot of concern. Less concern in the multifamily space, I mean, given the fact that that's an $8 billion portfolio and our resi portfolio is about $5 billion, a little less concern there. On the CRE space, obviously, with the shopping centers, that also poses some concern. We feel pretty good, though, that just given where we operate and given the strength of some of our borrowers and some of the loans and Kevin cited the LTVs and the debt service coverage ratios, although those debt service coverage ratios don't mean much right now, that when as we go and trend and go through this pandemic and as things start to transition back to more normal state. We feel that those portfolios, the CRE, multi-family and resi portfolios, will behave well. Again, there's some doubt on the C&I portfolio, but given some of our exposures there, we also we feel pretty good there. We happen to have Rich Spengler, who's our Chief Lending Officer, on the phone and he may be able to add a little bit more color. Rich?
RichSpengler: Yes, Dom. Look, I think you pretty much covered it. I think we're looking at predominantly our retail, the commercial real estate and depending upon the duration and when this actually comes back, it seems like that's where there's been the most noise as far as tenant sending in letters and refusing to pay and talking about what time they will actually start making payments again after the pandemic is lifted.
Mark Fitzgibbon: And then, I guess, I was curious on commercial line utilization rates. Have you seen much of an up tick there thus far?
Domenick Cama: Have not, actually. We were monitoring that very closely, as you may imagine. And we had a little up tick in it and then it flattened out. So the unused lines haven't been a concern to us.
Mark Fitzgibbon: And then, lastly, I heard what you said about provisioning guidance being really difficult given the uncertainties in the environment. Obviously, it's even harder from our perspective to model that out, but as you think about it, say, for the second quarter, would your presumption be that we'd probably see a provision that's somewhat less than what we saw in the first quarter?
Domenick Cama: Sean, why don't you take that?
Sean Burke: Yes, Mark. I know what you're hinting at, but it really is hard to predict. I mean things change daily. And I certainly understand where you're going there. And it certainly feels like things are getting better. But I think we'd be a little reluctant to really venture out saying that in absolute terms., so for now, the environment changes. I think it's safe to say if things improve and the economic environment improves, I think your statement will hold true. If things deteriorate in some way, then we could be looking at elevated provisions. So we'll go the way the economy goes.
Operator: Our next question comes from Chris O'Connell with KBW.
Chris O'Connell: Filling in for Collyn. I guess if we could start out with the NIM. You guys had great NIM movement this quarter and good movement on the interest-bearing deposits downward. CDs are still fairly high at 1.88% in terms of the cost. Could you maybe give a look into what CD rates are coming on today and also where borrowings could reprice, given that they're still fairly elevated as well at 2.09% cost?
Domenick Cama: Yes, Chris. On the CD pricing, we're seeing new CDs come on at a top rate of 1.05% in using a 13-month maturity and 1% in a 7-month maturity. So those are our highest rates these days. I mean we have some programs that require checking accounts that will allow you, if you bring $0.5 million into bringing 1.25. But let's call the highest rates of 1.05% in the CD space. So I mean, those CDs, that 1.88% is obviously elevated because of the fact that rates were so high going through most of 2019. And as rates come down, those CDs will start to reprice more quickly. I think more reflective of our cost of deposits is our government deposit portfolio, which is about $5 billion. So let's call it, $4.5 billion and tied directly to Fed funds. And we've seen those rates come down by about 100 basis points, most of which we'll recognize the benefit of in the second quarter because the first rate cut happened on March 3. We took that right away. And the second rate cut, which occurred on March 15, we decided to wait until April 1. So I think you'll start to see that CD bucket come down. You'll start to see it. You start to see that CD bucket come down, but more importantly, that government deposit bucket has already come down significantly.
ChrisO'Connell: Got it. And so as we look into the 2Q NIM, I mean, is it fair to say given that government deposit bucket combined with what presumably will be a decent drop in borrowings in CDs that we could see double-digit NIM increase next quarter?
Domenick Cama: I'll let Sean, why don't you handle that?
Sean Burke: I wouldn't go so far as to say double-digit, but certainly, we are expecting to see some NIM expansion next quarter driven by lower deposit costs, lower borrowing costs.
Chris O'Connell: Got it. And I know you guys are kind of backing away from numerical guidance. But as we look into the back half of the year, is it also fair to say that we should see kind of consistent NIM improvement, obviously, 2Q will be fairly material given the government deposit move. But let's say, rates hold in general and loan spreads hold where they are. Is that a fair statement to say for the back half of 2020?
Sean Burke: Yes. There's a lot of moving pieces there. But if we held everything else constant, that's going on, which is kind of a bold statement. But if everything else was constant and we saw borrowings costs are coming down and deposit costs continuing to come down in the lower environment. Yes, that should translate into improved NIM throughout the year. But things are moving around all over the place and it's really hard to predict. So that's why we're backing off a bit going too far out trying to make projections.
Chris O'Connell: Got it. And along the same line, I mean, obviously, liquidity cash built up a ton this quarter. I guess is there a plan or a tentative plan to for how long that might stay on the books?
Domenick Cama: Yes. I think, Chris, along those lines, we have a number of maturities happening in the second quarter and we'll lay some of that off there. We're going to hold on to the cash for a little while to see how our government deposit portfolio behaves during the second quarter. The government deposit bucket runs in cycles, and we just want to make sure that it continues to run in the similar cycle that it has in the past. So we're going to be cautious holding on to the balances, but we recognize that we have a lot of excess cash on the balance sheet and we'll be prudent about how we work it off during the second quarter.
Chris O'Connell: Got it. And then just one last one. On the buyback, I know it's kind of in limbo right now or suspended just given the current environment. What I guess, you guys are still kind of lying above, I guess, what your target TCE ratio longer term. When would you feel comfortable or what would drive you to get back involved with the share repurchases?
Domenick Cama: Chris, interesting. Sean and I did a conference early in March and it was up and this is before we knew the world was blowing up and a lot of questions about the repurchases. And I just want to remind you that we did a big repurchase in the fourth quarter of 2019 when we bought back over $300 million of Blue Harbour stock. And while the stock price came down and it seemed beneficial to start buying it back, we're dealing, as I said that day a number of times with a number of constituents, right? I mean we have our regulators to deal with. We have our concentration ratios to deal with. And when you buy back $300 million in of stock in one fell swoop, I think it's time to put it on pause and say, "Hey, let's see how this goes". As it turned out, it was a good move, not buying any stock back in the first quarter, as we felt it was prudent to shore up capital and make sure capital remained in a strong position. And so I'm going to say also, like Sean said to an earlier question, it's who knows what's going on out there. So I don't see buy backs happening in the foreseeable future, all things being equal as the environment exists today.
Kevin Cummings: Yes. I think our number 1 concern is to protect the dividend moving forward. And buy backs are going to take a backseat. We've always managed capital on a 4-pronged approach; M&A, organic growth, buybacks and dividends. And it's always been our prudent approach of balancing those things, using them when available. I know the stock price is down, but it's certainly not a time in the foreseeable future to jump into that part of the strategy to manage our capital.
Operator: The next question comes from Laurie Hunsicker with Compass Point. Please proceed.
Laurie Hunsicker: I wanted to go back to and I appreciate all the details that you've given, really, really helpful. I wanted to go back to the hotel and restaurant exposure of $387 million. How much of that is CRE versus C&I? And then what's the LTV on the CRE piece, if you have it?
Domenick Cama: On the C&I piece, it's about $280 million and the CRE piece about $109 million. I don't have the LTV, but I think they're pretty low.
Laurie Hunsicker: Okay. And then you have the breakout of...
Domenick Cama: Just one other point, Laurie, I just want to be clear on this. On the C&I front, the $280 million, recognize that those loans are secured by the properties in New York City. So while they're not technically classified and while they are under CRE, we made the loans based on the cash flow of the buildings, but the collateral is real estate. So we feel we're pretty well collateralized in those loans.
Laurie Hunsicker: Got it. And then do you have the breakout of what hotel versus restaurants?
Domenick Cama: I don't. We don't have that. The way we've broken this out is accommodation and food service together, but I'm going to say that the majority of it is in the hotel business.
Laurie Hunsicker: Okay. Great. That's helpful. Okay. And then same question on the arts and entertainment, the $66 million, is that primarily C&I or is there any CRE there?
Domenick Cama: That's primarily C&I. It's about -- it's $47 million on C&I and $19 million on CRE.
Laurie Hunsicker: Okay. Great. And then same question on, go ahead.
Domenick Cama: On the accommodation, our hotel and food service, $278 million is C&I, $109 million is CRE.
Laurie Hunsicker: Okay. That's great. And then same question on the retail exposure, the $1.9 billion. Is what percentage or what dollar amount is C&I versus CRE?
Domenick Cama: $90 million C&I.
Kevin Cummings: And $1.8 billion, $1.795 billion CRE.
Laurie Hunsicker: Okay. Great. And you don't happen to have the LTV on that, do you?
Kevin Cummings: Well, we gave the in my remarks, we gave the overall CRE on the deferments. And I believe it was about 55%. I'll check it, okay?
Laurie Hunsicker: Okay. 55%. Okay, great. And then just on that $1.9 billion, is there any mall exposure in there?
Domenick Cama: Rich, do you have an answer to that?
Rich Spengler: It's predominantly retail shopping not interior malls, more just exterior community-type shopping centers.
Laurie Hunsicker: Okay. So sort of more retail service. Is that a fair statement?
Rich Spengler: Yes. Exterior anchored supermarkets, big boxes, not large interior malls.
Laurie Hunsicker: Okay, great. And then, do you have and if you don't have this, I'll follow-up with you afterwards, but do you have any dollar amount on exposure in healthcare, education or transportation, any of those three categories?
Domenick Cama: We do. Laurie, we can answer the question now, but it will be included in the 8-K.
Laurie Hunsicker: It will. Okay. I'll wait for that. That's helpful.
Domenick Cama: Yes. The healthcare and social assistance is about $600 million, $650 million and education, about $80 million. And the LTV on CRE deferments is approximately 53%.
Laurie Hunsicker: 53%. Okay, great. And then I just wanted to go, Kevin, I'm so sorry, I think I must have missed part of this. When you were going through the lower-risk portfolios, the single-family, multifamily and home equity, the LTVs on those three buckets are what again?
Kevin Cummings: Okay. One second.
Laurie Hunsicker: And while you're looking that up, I go ahead.
Domenick Cama: $1.1 billion was, I think, also 53%.
Kevin Cummings: Yes.
Domenick Cama: It was approximately 60%, I believe. We didn't give it on the deferments. It's approximately our average LTVs at year end were approximately 60% for the residential and multifamily portfolios and overall 55% for the CRE and consumer portfolios.
Laurie Hunsicker: Okay, great. And then just super quick question. Swap fee income I know was down this quarter. What do you have a dollar number on that?
Domenick Cama: On the swap fee income?
Sean Burke: Yes. Laurie, it's Sean. We're down -- I'm going to look it up, but I think it was down $2.9 million, Laurie, quarter-over-quarter. So the fourth quarter had some elevated swap-throughs this quarter a little bit lighter than what we normally expect. So a little bit on the light end, but the fourth quarter had some elevation in terms of what was in there.
Domenick Cama: $2.2 million.
Laurie Hunsicker: $2.2 million?
Domenick Cama: Difference, yes.
Sean Burke: Difference.
Laurie Hunsicker: Perfect. I'll leave it there. Thank you so much for all the details.
Domenick Cama: Laurie, I'm sorry, it's $2.8 million.
Operator: The next question comes from Jared Shaw with Wells Fargo Securities.
Jared Shaw: So there are not too many questions left, but on the could you give us a spot rate on deposits at 3/31?
Domenick Cama: What does that mean, Jared, spot rate?
Jared Shaw: Not the average rate for the quarter, just where cost of deposits were at March 31.
Sean Burke: Jared, I don't have the spot rate, but I can tell you the month of March. So at least for interest bearing deposits, the cost of interest bearing deposits for the month of March was 1.29%.
Jared Shaw: Okay, great. And then we get the impact from government funds that hit in April 1 and 2 that would help bring that down. Can you give a little update on the multifamily line? What you're seeing as loans come to the end of the fixed period, are you seeing sort of continuous renewals or renewals continuing to happen and what's the rate on those renewals now on the multifamily product?
Domenick Cama: Rich, why don't you handle that?
Rich Spengler: Yes. We're still seeing activity on people looking to refi when they're getting to the end of that fixed period. There's is a good chunk of the current pipeline that we are seeing. We've enhanced some underwriting relative to how we underwrite those deals at this time. But I would say that's probably the busiest part of the marketplace is the refi of loans that are maturing or loans that are rolling as well as anyone that was involved in 1031. Those are probably the two biggest drivers of that marketplace. And 5-year paper is probably somewhere right around that 4% or just below right now today.
Jared Shaw: Okay. And then are you taking on new customers in that line or are you just refing the existing relationships?
RichSpengler: I would say the bulk of the work is done with existing relationships, but we're still looking at new customers. The majority is all existing.
Jared Shaw: Okay. And then on the broader CRE portfolio, how is the paydown and payoff activity trending since sort of the back end of the quarter? And should we expect to see that slow down as we go in the second and third quarter?
Domenick Cama: Customers are still paying off their loans. We did see a couple of big payoffs, Jared, in the back end of the first quarter. I think it will slow down as we get through the second quarter just because there are not a lot of new deals happening. As Rich said, most of the deals that are happening are loans that are up to maturity or guys that need to put their money to work in a 1031 exchange. But we don't see a lot of activity in the purchase market. So we expect that, that will slow down, although, as I said, we did see some big payoffs toward the end of March.
Operator: This concludes our question-and-answer session. At this time, I would like to turn the conference back over to management for any closing remarks.
Kevin Cummings: Okay. Thanks, Chris. I'd like to thank you for your participation today. When I think about the past two months, I am grateful for the leadership team that I work with and all the employees at the bank. Through great hardship and personal sacrifice, they've done a great job. They continue to amaze me, and I'm humble to leave them with Dom and the executive team. As Churchill once said, "Fear is a reaction, and courage is a decision." Our message is to be faithful and not fearful. We need to be a source of hope and optimism in our communities and continue to live our core values by being a good corporate citizen and making a difference in a time of great stress and uncertainty. Please stay healthy out there. Be careful, and follow the CDC guidelines. Let's pray for each other and inspire each other that we can all be safe and the very best versions of ourselves during this crisis as we make the journey together. I want to thank you again for participating today, and please be careful, and I look forward to the day that we can be out on the road visiting with all of you soon. Have a great day, stay healthy and be strong. Talk to you soon. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.